Operator: Good day, and welcome to the Monster Beverage Company Second Quarter 2020 Conference Call. All participants will be in a listen-only mode [Operator Instructions]. After today's presentation there will be an opportunity to ask questions [Operator Instructions] I would now like to turn the conference over to Mr. Rodney Sacks, Chairman and CEO. Please go ahead sir.
Rodney Sacks: Good afternoon, ladies and gentlemen. Thank you for attending this call. I am Rodney Sacks. Hilton Schlosberg, our Vice Chairman and President is on the call as is Tom Kelly, our Executive Vice President of Finance. Tom Kelly will now read our cautionary announcement.
Tom Kelly: Before we begin, I'd like to remind listeners that certain statements made during this call may constitute forward-looking statements within the meaning of Section 27A of the Securities Act of 1933 as amended and Section 21E of the Securities Exchange Act of 1934 as amended and are based on currently available information regarding the expectations of management with respect to revenues, profitability, future business, future events, financial performance and trends, as well as the future impact of the COVID-19 pandemic on the company's business and operations. Management cautions that these statements are based on our current knowledge and expectations and are subject to certain risks and uncertainties, many of which are outside the control of the company that may cause actual results to differ materially from the forward-looking statements made during this call. Please refer to our filings with the Securities and Exchange Commission, including our most recent Annual Report on Form 10-K filed on February 28, 2020 and our most recent quarterly report on Form 10-Q filed on May 11, 2020, including the Sections contained therein entitled risk factors and forward-looking statements for a discussion on specific risks and uncertainties that may affect our performance. The company assumes no obligation to update any forward-looking statements, whether as a result of new information, future events or otherwise. An explanation of the non-GAAP measure of gross sales and certain expenditures, which maybe mentioned during the course of this call, is provided in the notes and designated with asterisks in the condensed consolidated statements of income and other information attached to the earnings release dated August 4, 2020. A copy of this information is also available on our Web site, www.monsterbevcorp.com in the Financial Information section. I would now like to hand the call over to Rodney Sacks.
Rodney Sacks: Let me begin by stating that our thoughts and prayers are with all who have been impacted by the COVID-19 pandemic. From the beginning of the COVID-19 pandemic, our top priority has been the health, safety and well being of our employees. As mentioned on our previous call in early March 2020, we implemented global travel restrictions and work from home policies for employees who are able to work remotely. For those employees who are unable to work remotely safety precautions have been instituted, which were developed and adopted in line with guidance from public health authorities and professional consultants. Our offices have partially reopened in the United States and in certain countries and our field sales teams are operating in the field with our bottlers, distributors and retailers subject to safety protocols. We are incredibly proud of the teamwork exhibited by our employees, co-packers and bottlers and distributors around the world who are ensuring the integrity of our supply chain. Our flavor manufacturing facilities are co-packers, warehouses and shipment facilities are all operating. Certain of our bottlers and distributors have implemented modifications to their coal points and service levels. But generally our products remain available to consumers. In limited countries, the operations of our bottlers and distributors have been more affected. The COVID-19 pandemic had an adverse impact on our net and gross sales for the 2020 second quarter, in part due to certain of our bottlers and distributors, reducing their inventory levels. However, we did see a sequential improvement in sales in the latter half of the quarter, as certain countries and states began to gradually reopen. Since mid-March 2020, the company has seen a shift in consumer channel preferences and package configurations, including an increase in at home consumption and a decrease in immediate consumption. Our sales in the second quarter were initially adversely affected as a result of a decrease in foot traffic in the convenience and gas channel, which is our largest channel, but improved sequentially throughout the quarter. Our ecommerce, clubs store, mass merchandiser, and grocery and related business continue to increase in the quarter while our food service on-premise business which is a small channel for us remains challenged. Currently, we do not foresee a material impact on the ability of our co-packers to manufacture and our bottlers and distributors to distribute our products as a result of the COVID-19 pandemic. In addition, we are not experiencing raw material or finished product shortages in our supply chain. Monster Energy Cares, our philanthropic arm continues to be actively engaged in a number of philanthropic efforts, including donating products to individuals working on the front lines, such as first responders, healthcare workers, hospitals and the National Guard. Based on currently available information, we do not expect the COVID-19 pandemic to have a material impact on our liquidity. In the second quarter of 2020, net sales were $1.09 billion compared with $1.1 billion in the second quarter of 2019. Adjusting for foreign currency movements in itself for the 2020 second quarter would have been up approximately 1%. The COVID-19 pandemic's impact was more pronounced in EMEA during the quarter. In particular, the reduction in revenue from our strategic brands segment was significant as our larger revenue generating countries in EMEA experienced extended lockdowns. Operating income was 407.3 million, up from 379 million in the second quarter of 2019, due in part to lower sponsorship and endorsement costs of 19.8 million, as well as lower travel and entertainment expenses of 10.1 million. The cost for certain postponed or rescheduled events have been or maybe deferred to future periods. Due to the uncertainty surrounding the COVID-19 pandemic, we are unable to estimate in which future periods if any such deferred sponsorship and endorsement costs will be recognized. Net income increased 6.5% to 311.4 million as compared to 292.5 million in the 2019 comparable quarter. Diluted earnings per share for the 2020 second quarter increased 9.9% to $0.59 from $0.53 in the second quarter of 2019. According to the Nielsen reports for the 13 weeks through July 18 2020, for all outlets combined, namely convenience, grocery, drug, mass merchandisers, sales in dollars in the energy drink category, including energy shots increased by 7.6% versus the same period a year ago. Sales of the company's energy brands including Reign were up 5.8% in the 13 week period. Sales of Monster were up 4.8%; sales of Reign were up 26.8%; sales of NOS increased 1.6%; and sales of Full Throttle decreased 0.9 of a percent. Sales of Red Bull increased 17.3%; sales of Rockstar decreased by 7.5%; sales a 5-Hour decreased 9.1% and sales of Amp decreased 10.8%; VPX Bang sales decreased 11.6%. According to Nielsen for the four weeks ended July 18, 2020 sales in the convenience and gas channel, including energy shots in dollars, increased 9.2% over the same period the previous year. Sales of the company's energy brands, which include Reign, increased 5% in the four week period in the convenience and gas channel. Sales of Monster increased by 5.6% over the same period versus previous year; Reign sales increased 2.5%; NOS was up 2.7%; Full Throttle was down 1.4%; sales of Red Bull were up 21.1%; Rockstar was down 6.9%; 5-Hour was down 4.1% and Amp was down 5.8%. VPX Bang sales decreased 7.2%. According to Nielsen in the four weeks ended July 18, 2020. The company's market share of the energy drink category in the convenience and gas channel including energy shots in dollars decreased by 1.5 points over the same period the previous year to 37.8%. Monster share decreased 1.1 share points to 31.1%, Reign share was 2.8%, NOS's share decreased 0.2 points to 3.3% and Full Throttle share decreased 0.1 of a point 2.7%, Red Bulls share increased 3.7 points to 37.3%, Rockstar share was down 0.8 points to 4.9%, 5-Hour share was lower by 0.6 points at 4.6% and Amp share decreased 0.1 of point to 2.4%, Bang share decreased 1.3 points to 7.2%. According to Nielsen for the four weeks ended July 18, 2020, sales in dollars in the coffee plus energy drink category, which includes our Java Monster line in the convenience and gas channel increased 10.2% over the same period the previous year. Sales of Java monster were 24.6% higher in the same period versus the previous year. Sales of Starbucks energy were 12.3% higher. Java Monster share of the coffee plus energy category which primarily includes Java Monster, Java Monster 300, Starbucks Double Shot and Triple Shot, Rockstar Roasted and Bang Keto Coffee for the four weeks ended July 18, 2020 was 51.1% up 5.9 points while Starbucks energy share was 47% up point 8 points. Cafe Monster and Espresso Monster have been discontinued in the United States. According to Stackline, which tracks energy drink sales by Amazon in the United States for the four week period ending July 18, 2020, sales in dollars in the energy category by Amazon, including energy shots increased 190% over the same period the previous year. Sales of Monster increased 269.4% and its share was 39.5% up 8.5 share points versus the same period a year ago. Red Bull sales increased 172.4% and its share was 14.5% down 0.9 of a point. Celsius sales increased 213% and its share increased 0.8 of a point to 11.3%. 5-Hour sales increased 50.5% and its share declined 3.8 points to 4.2%. VPX Bang sales increased 66.1% and its share declined 2.7 share points to 3.7%, Reign share was 5.5% and Rockstar share was 1.7%. According to Nielsen in all major channels in Canada for the 12 weeks ended June 30, 2020, the energy drink category increased 6.8% in dollars. Sales of the company's energy drink brands increased 6.9% versus a year ago. The market share of the company's energy drink brands was 37.8%, the same as in the previous year. Monster's market share increased 0.2 of a point to 34.9. NOS's sales increased 7.6% and its market share remained the same at 2.1%. Full Throttle sales decreased 21.2% and its market share decreased 0.3 of a point 2.7% Red Bull sales increased 11.1% and its market share increased 1.5 points to 38.1%. Rockstar sales decreased 5.2% and its market share decreased 2.1 points to 16%. [Group] [ph] sales increased 35.7% and its share increased 0.7 of a share point to 3.2%. According to Nielsen for all outlets combined in Mexico, the energy drink category declined 11.8% for the month of June 2020. Monster sales decreased 18.9%. Our market share in value decreased 2.4 points to 27.8% against the comparable period the previous year. Burn has been discontinued in Mexico; Red Bull sales decreased 30.3% and its market share decreased by 1.8 points to 6.8%. The Vive 100 sales decreased 32.6% and its market share decreased by 7 points to 22.5%. Volts sales increased 0.2 of a percent and its market share increased 2.2 share points to 18.8%. While Boost sales decreased 10.7% and its market share increased 0.1 of point to 7.4%. [Indiscernible] sales increased 269% and its market share increased 7.5 points to 13.6. Coca-Cola energy's market share was 0.9 of a percentage point. Predator which was launched in March 2020 achieved a market share of 1.4%. The Nielsen statistics for Mexico cover single months, which is a short period that may often be materially influenced positively and/or negatively by sales in the OXXO convenience chain, which dominates the market. Sales in the OXXO convenience chain in turn, can be materially influenced by promotions that may be undertaken in that chain by one or more energy drink brands during a particular month. Consequently, subjectivities could have a significant impact on the monthly Nielsen statistics for Mexico. According to Nielsen for the month of June 2020, compared to June 2019. Monsters retail market share in value increased in Argentina from 25.4% to 39.4%; in Brazil from 21.1% to 30.4%; and in Chile from 37.4% to 44.9%. Since the launch of Monster Energy in Argentina in the first quarter of 2018, Monster is now the leading energy brand in volume in Argentina. I would like to point out that the Nielsen numbers in EMEA should only be used as a guide because the channels read by Nielsen in EMEA vary from country to country and are reported on varying dates within the month referred to from country to country. According to Nielsen in the 13-week period ended mid-June 2020. Monster's retail market share in value as compared to the same period the previous year grew from 22.1% to 25.6% in Denmark; grew from 20.8% to 24.8% in Great Britain; grew from 24.2% to 28.4% in Norway; grew from 21.9% to 24.9% in the Republic of Ireland; grew from 32.2% to 34.8% in Spain; and grew from 12.8% to 13.8% in Sweden, but declined from 13.1% to 12.5% in Belgium; from 27% to 25.9% in France; and from 7.4% to 6.3% in the Netherlands. According to Nielsen in the 13-week period to the end of May 2020, Monster's retail market sharing value is compared to the same period the previous year grew from 34.7% to 35.2% increase, from 13.7% to 17.7% in Poland, from 16.4% to 17.7% in South Africa, while it remained flat at 13.3% in the Czech Republic, and declined from 16% to 15.1% in Germany and from 18.5% to 16.8% in Italy. The Nielsen numbers in EMEA should only be used as a guide because the channel is read by Nielsen in EMEA vary from country to country. According to IRI in Australia, Monster's market chain value for the four weeks ended July 5, 2020 increased from 9.4% to 11.9%. As compared to the same period the previous year, Mother's market share in value decreased from 13.9% to 13.3% during the same period. Market share of the company brands in Australia for the four weeks ended July 5, 2020, increased from 23.3% to 25.2%. According to IRI in New Zealand, Monster's market share in value for the four weeks ended June 21, 2020 increased from 7.8% to 10.4%. As compared to the same period the previous year, Live+ market share in value decreased from 8.3% to 7.1%. And Mother's market share in value decreased from 6.5% to 6.4%. Market share of the company's brands in New Zealand for the four weeks ended June 21, 2020 increased from 22.6% to 23.8%. According to Nielsen in South Korea, Monster's market share in value in all outlets combined for the month ending June 2020 grew from 39.4% to 53.3% as compared to the same period in the previous year. According to INTAGE in Japan, Monster's market share in value in the convenience store channel for the month of June 2020 declined from 52.5% to 51.1% as compared to the same period in the previous year. We again point out that certain market statistics that cover single months or four week periods may often be materially influenced positively and/or negatively by promotions or other trading factors during those periods. Net sales to customers outside the U.S. were 328.3 million, 30% of total net sales in the 2020 second quarter, compared to 343.3 million or 31.1% of total net sales in the corresponding quarter in 2019. The decrease was largely due to the reduction of sales in EMEA during the quarter. Foreign currency exchange rates had the effect of decreasing net sales in U.S. dollars by approximately 18.2 2 million in the 2020 second quarter. Included in reported geographic sales are our sales to the company's military customers, which are delivered in the U.S. and trans-shipped to the military and their customers overseas. In EMEA, net sales in the second quarter decreased 20.4% in dollars and decreased 15.9% in local currencies over the same period in 2019. Gross profit in this region as a percentage of net sales for the quarter was 38.1% compared to 39.5% in the same quarter in 2019. Gross profit percentage for the region was adversely impacted by foreign exchange rates, country and product mix. In local currencies gross profit as a percentage of net sales for the quarter was 39.4%. The COVID-19 pandemics adverse impact on net sales was more pronounced in EMEA for the three months ended June 30, 2020 particularly in the strategic brands segment. Net sales in EMEA will also adversely impacted by the reduction in inventories by certain of our bottlers and distributors. In addition, to a lesser extent, the trading dispute between Coca-Cola bottlers and the European buying group primarily in Western Europe resulted in the temporary delisting of some Coca-Cola and Monster products, which had an adverse impact on itself in EMEA for the three months ended June 30, 2020. We are pleased that in the second quarter Monster gained market share in Denmark, Great Britain, Greece, Norway, Poland, Republic of Ireland, South Africa, Spain and Sweden. In Asia Pacific, net sales in the second quarter increased 30.4% in dollars and 30.9% in local currencies over the same period in 2019. Gross profit in this region as a percentage of net sales was 43.3% versus 43.6% over the same period in 2019. In Japan, net sales in the quarter increased 41.8% in dollars and 37.5% in local currency. In South Korea, net sales increased 46.9% in dollars and 55.7% in local currency as compared to the same quarter in 2019. In China net sales increased 66.9% in dollars in the quarter and 74.4% in local currency as compared to the same quarter in 2019. In Oceana, which includes Australia, New Zealand, Tahiti, French Polynesia, New Caledonia, Papua New Guinea and Guam, net sales decreased 32.3% in dollars and 24.9% in local currencies, sales of the Monster brand decreased 25.6% in dollars and 17.9% in local currency as compared to the same quarter in 2019, while the strategic brands in this region decreased at a faster rate. Net sales in this region were adversely affected as a result of our bottlers' distributors, reducing their inventory levels in Latin America, which includes Mexico and the Caribbean. Net sales in the second quarter decreased 9.7% in dollars and increased 10.8% in local currencies. Gross profit of the same period in 2019, gross profit in this region as a percentage of net sales was 41.2% compared to 43.3% of the same period in 2019. In Brazil, net sales in the quarter decreased by 1% in dollars, but increased 31.2% in local currency. Net sales in Chile increased 30.8% in dollars and 62.3% in local currency in the quarter. I will now briefly discuss our litigation with Vital Pharmaceuticals, Inc, VPX the maker of Bang energy drinks. Several proceedings are currently ongoing with VPX, including claims for false advertising and trademark and trade dress infringement, brought by the company against VPX and by VPX against the company. The company's lawsuit for unfair competition, false advertising and misappropriation of trade secrets, is scheduled for trial in April 2021. VPX's lawsuit against the company which VPX claims trademark infringement of the newly acquired Reign trademark and the company counter-claimed for cancellation of their trademark. The district court judge ruled in the company's favor in respect of the trademark infringement claims, finding that the company had superior rights to the Reign trademark in connection with energy drinks and cancelling the Reign trademark that VPX had purchased. VPX remains [indiscernible] from selling Reign branded energy drinks, VPX's trade dress infringement claims in these proceedings are scheduled for trial at the end of August 2020. As this litigation and other pending proceedings with VPX are subjugate, we will not be answering any questions on this matter on today's call. In the United States, our bottlers focused on relaunching our first quarter product innovation, which launch plans, were disrupted due to the COVID-19 pandemic. In Canada, we did not launch any new items within the second quarter of 2020 and continue to grow our distribution of all first quarter 2020 innovations. In Honduras, we launched Fury, Gold Strike in the affordable energy category during April 2020 and in Salvador in early July 2020, initial results have been positive. In June 2020, we launched Ultra Paradise in Argentina and Puerto Rico. Additionally, in June 2020, we launched Monster Mango Loco in Guatemala, El Salvador and Honduras. In New Zealand, we launched Monster Energy Mule and Mother Tropical Blast during April 2020. Despite a lockdown in majority of EMEA markets for most of the second quarter, we have still been able to introduce new products across EMEA. Juice Monster Pacific Punch was launched in Spain in June 2020 and is now available in 10 markets across EMEA and we plan to launch Juice Monster Pacific Punch in an additional two markets in 2020. Juice Monster Pipeline Punch was launched in Romania in May 2020 and is now available in 21 markets across EMEA and we plan to launch Juice Monster Pipeline Punch in an additional eight markets in 2020. Juice Monster Mango Loco was launched in Switzerland in June 2020 and is now available in 35 markets across EMEA. We plan to launch Juice Monster Mango Loco in an additional 10 markets in 2020. Monster Ultra Paradise was launched in Austria, the Baltics and Hungary in May 2020, in Denmark and Spain in June 2020, in Poland in July 2020, and is now available in 14 EMEA markets and we plan to launch Monster Ultra Paradise in an additional seven markets in 2020. Espresso Monster Milk and Vanilla variants are now available in 20 markets in EMEA and we plan to launch Espresso Monster Milk and Vanilla variants in an additional two markets in 2020. Monster Hydra Sport was launched in Spain in May 2020 and we plan to launch Monster Hydra Sport in an additional market in 2020. We are also pleased with the performance of Reign and we plan to launch Reign in an additional six markets in 2020. We launched Monster Mule in Poland in July 20 and plan to launch Monster Mule in an additional nine markets in 2020. We launched Predator a primary affordable energy brand in Nigeria in June 2020. Additionally, we are planning to launch Predator in Ethiopia in the third quarter of 2020. We are also planning to launch Predator in an additional six EMEA markets later in 2020, Bosnia, Croatia, Ghana, Romania, Russia and Slovenia. Currently innovation launches for all EMEA markets for the third and fourth quarters remain on track, despite the ongoing COVID-19 pandemic. However, these launches will continue to be subject to developments in relation to the COVID-19 pandemic in individual countries. In Japan, we continued with the strong rollout of Pipeline Punch to 90% of the country, and in June launched Ultra Paradise with solid consumer acceptance. With strong innovation and continued growth of our core, we have further bolt-on our number one country share position in value. In South Korea, Monster Energy retained its Number 1 share position in value and in June began shipments for the summer 2020 launch of Ultra Paradise. In April 2020, we began distribution of our new Monster Energy Dragon tea in China, which is non-carbonated. Early feedback from consumers has been positive. During this quarter we began shipments for our summer on pack promotion and we expect to further build momentum with consumers in the retail trade. India remains mostly in national lockdown due to the COVID-19 pandemic, which took effect on March 25 2020. We have prepared a strong summer on pack promotion, which will help reestablish momentum as the market aims to reopen in the third quarter of 2020. During the 2020 second quarter, we purchased approximately 0.3 million shares of our common stock at an average purchase price of 52.88 per share, for a total amount of 15.6 million excluding broker commissions. As of August 4, 2020, approximately 441.5 million remained available for repurchase under the previously authorized repurchase program. We estimate July 2020 gross sales to be approximately 15.8% higher than in July 2019. On a foreign currency adjusted basis, July 2020, gross sales would have been approximately 17.1% higher than comparable July 2019 gross sales. July 2020 had the same number of selling days as July 2019. In this regard, we cautioned again that sales over a short period are often disproportionately impacted by various factors, such as, for example, selling days, days of the week in which holidays fall, timing of new product launches and the timing of price increases and promotions in retail stores, distributor incentives, as well as shifts in the timing of production. In some instances where our bottlers are responsible for production and unilaterally determine their production schedules, which affects the dates on which we invoice such bottlers, as well as inventory levels maintained by our distribution partners, which they also unilaterally for their own business reasons. We reiterate that sales over a short period such as a single month should not necessarily be imputed to or regarded as indicative of results for a full quarter or any future period. In addition, the COVID-19 pandemic remains a serious concern. If the COVID-19 pandemic and related and unfavorable economic conditions continue to intensify, the negative impact on ourselves including our new product innovation launches could be prolonged and may become more severe. In conclusion, I would like to summarize some recent positive points. One, the company's priority has been and remains the health and safety of our employees. Two, currently the company's flavor manufacturing facility, its co-packers, warehouses and shipping facilities and bottlers and distributors are all operating. Three, we are pleased with the new additions to the Monster Energy portfolio. Four, we're encouraged by the prospects for our Reign Total Body Fuel high performance energy drinks and Reign Inferno thermogenic fuel high performance energy drinks. We are planning for future launches of our Reign Total Body Fuel high performance energy drinks in certain countries outside of the US. Five, we are pleased with the rollout of Predator and Fury and our affordable energy drink portfolio internationally. We are proceeding with plans for future launches of our affordable energy brands outside of the United States. Six, despite the obstacles of the COVID-19 pandemic, we are pleased with our performance for the quarter and for the first half of the year. I'd like to open the floor to questions about the quarter. Thank you.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] And today's first question comes from Andrea Teixeira with JPMorgan. Please go ahead.
Andrea Teixeira: Congrats on the results. So I remember you spoke to potentially answer the alcoholic segment, the last time we were there at your headquarters in June last year. And since then, we have heard you're planning to launch a Hard Seltzer. So I understand that you have postponed some of these launches. So the question is, if you are indeed looking to launch a Hard Seltzer and then if so, when are you hoping to be able to share more news with us. Thank you.
Rodney Sacks: Andrea, I think the issue is -- there's been a lot of speculation about what we are going to do both in the non-alcoholic and alcoholic spaces. We are looking at a number of alternatives and opportunities. And we may well do something in both of those spaces and/or one or the other. But we've not had made any final decisions. We are actually, you analyzing it, we were looking at developing some products in both non-alcoholic and alcoholic spaces, we are testing products. But we haven't yet decided on which of those we're going to go into. We have for example, I know that some of the analysts have picked up that we register different names of products, some of those names may be appropriate for one or more of these lines or may not be we are looking obviously as part of our planning, we are looking at availability of names that we think may be appropriate for lines or line extensions outside of the energy category. And in some cases, some of those names may well be used by us for an alternative brand within the energy space. I mean, it's a very broad spectrum that we are currently investigating. We've got the right to do quite a lot. We are looking at how do we do it? What's best, what do we think will have the most impact for the company in the short-term, both in the U.S. and as well as internationally? So, there's been a lot of speculation, and we are definitely looking at it and evaluating it, but we've not made any decision. So at this point, it is premature for us to give any indication to the market of what our plans are because we have not firmed up our plans internally ourselves yet. There's been no definitive decision on when to launch, what to launch and under what brand names. Obviously, we're getting there. We're quite close, but we haven't gotten to that position, yet. So I really can't give you an update other than to tell you that we are seriously looking at all those options. As we, as I said, there's a lot of speculation about what we're going to do because of the names and the trademarks we've applied to register under different clauses, but that is something that we are currently evaluating.
Hilton Schlosberg: So Andrea, the only thing I would add to that is that we have a very strong innovation pipeline with our existing business. So whatever we do, in addition to that, please rest assured that the company has a very interesting and very strong innovation pipeline.
Operator: Thank you. Our next question today comes from Nik Modi with RBC Capital Markets. Please go ahead.
Nik Modi: So I guess kind of one and a half question. One question is on innovation. Just given how the resets have been kind of thrown off [indiscernible] and just inactive now cancelled. I'm just curious on how you're thinking about communicating new product ideas and how you think that flow will work as we kind of work into the fall and into the spring of next year. So that's just kind of some general perspective. The real question is on CBD, what's the company's stance right now on that? I mean, is it -- you don't have enough clarity, so really don't want to enter that category? Or do you feel more comfortable now? I mean just any perspective around that would be helpful.
Hilton Schlosberg: Okay. So on the first question, we have a sales organization who in the U.S. call on every single major customer and that's how we go about presenting new product ideas on a one-to-one basis. So rest assured that innovation can be handled within the framework of our existing organization. Outside in particular, in Europe and in other parts of the world, the Coca-Cola bottle is present to customers with our attendance and they're very capable and they do display new products and new product innovations. On your second point, the environment is actually not clear as to where we are and where we should be with CBD. So at this time, we have products in development, but it's something that we're looking at from the sidelines and if things clear up and the opportunities that will present themselves that's something that we definitely will look at going forward, but not right now.
Operator: Thank you. Our next question today comes from Peter Galbo of Bank of America. Please go ahead.
Peter Galbo: Just wanted to ask you on the July sales increase, Rodney, you mentioned that bottlers had taken down inventory pretty low in the second quarter just, how should we look at that July increase, I guess from an organic demand, improvement standpoint versus bottlers maybe refilling some of the pipeline after getting inventory down to low? Thanks.
Rodney Sacks: I don't think we've really had a good read yet on where the bottlers -- when they're going to sort of get their inventory levels back to previous or pre-COVID levels. If they do, I mean, people are obviously looking at managing their inventory levels as tightly as they can and by taking things down. They may end up being a little more aggressive; obviously, we would like them to take some inventory levels up so that they just have more ability to react in the market and because of the lead time reasons. I don't think that we've seen a major restocking in July. We've just, again, I think people are still cautious and they're trying to manage inventories and in some cases, they're trying to manage or reduce some of the focus on -- better way to put it on their main SKUs. And so some of the smaller SKUs have perhaps suffered a little bit as well during this period, but we think those things will get back to normalizing. But I don't believe we've seen a substantial jump back in inventory levels in July. I think that sort of reasonably normal trading for us and Hilton, if you'd like to add something on that.
Hilton Schlosberg: Yes. What I'd like to add is that, depletions are tracking positive through July. So sales that are bottlers make to retailers are tracking positively and sure there will come a time when bottlers will revert to the prior inventories. But remember, they look at for us. Some bottlers have cash issues, the bigger bottlers look at sales forecasts that are generated both by their own forecasts and by the computer forecasting models. So they order inventories in accordance with those models. So, you remember when we spoke about on the last call, we spoke -- April was down. And we had a long and a robust discussion about that and we spoke about the patients. And looking at this quarter, we've had a strong July, which is consistent with what's happened in the sequential improvement through May. So April, we had that dip that we spoke about on our call. And in May and June, we've had a sequential improvement and we've seen that sequential improvement through July as well.
Operator: Thank you. And our next question today comes from Mark Astrachan with Stifel. Please go ahead.
Mark Astrachan: I guess I'm curious on U.S. I don't know how to diplomatically ask the question but maybe, if you could touch on the engagement of the coke system both in terms of selling your legacy product and the new product innovation including the shelf space for those obviously it was a little bit of a slower start. And we've seen Red Bull do very well. So maybe just touch on kind of where we are with reengagement both in legacy as well as innovation and how you think that should play out if things get back from blocking and tackling standpoint, if the share trends potentially improve and you kind of how you think about that?
Hilton Schlosberg: So Mark, remember we coming out of 100-year pandemic. And there's been -- the bottlers have all been operating and in some cases, the bottlers have been focused on sending the faster sending items, I think Rodney mentioned that earlier in the call. And they did not focus on the innovation and the SKUs that not move as fast as the faster sending items. So, we've seen that. We've seen some of the bottlers being affected by the employees by COVID; our people remember who are out of the field until the last month so they now are back in the field with the appropriate safety protocols. And our people are working; our field people are working with the bottlers and the retailers to restore the innovation that had not been taken place. So, Red Bull, it's interesting -- we've been watching the growth of Red Bull as well. And, once it's paying, you've seen the numbers and we've spoken about the numbers today. I've heard about the numbers in Nielsen. We are growing much faster than Red Bull in for example, Amazon. They have their own sales force and the distribution network. They've been able to execute pretty well in the trade they had a really good innovation the CEO called watermelon, which is pretty popular. So, in balance I think they probably distributed us in terms of displays and other points of purchase on store shelves and on the floors of the stores. And that's something that we are working to pretty aggressively without fuel people back in the stores to regain. So that's my kind of summary on where we are and the issue with Red Bull.
Rodney Sacks: Perhaps I could just, again also just have a little bit of color too, because I think it's obviously, you're focused on it and some people have been seeing the numbers. I think it comes down to during this period of time; Red Bull really managed their own distribution system. And they have dedicated and very focused personnel. I think when most of the big companies took a step back, particularly with their personnel in the field and their core points and being active in the market in the smaller markets, convenience and gas, et cetera and independent. I think all the bigger companies took their foot off the pedal and looked at protecting their employees and trying to handle the situation. I'll believe is that Red Bull literally was probably the only company that didn't do that and actually had their teams in the field, merchandising and promoting. And when you combine that focus together and they adjust their approach to the COVID pandemic, as well as together with the fact that they did have a flavor that resonated and it was really well executed the introduction of it, and it has really given them that boost. That's really what we think has been the real difference. But those are things that with a bigger company, like the Coke system where I think they just step back as most other consumer product companies did. I think that will start reversing and that they are getting back into the field. Now we're getting out into the field. We also pulled some of our team out as Hilton said. We've got a really understand that and that's what I think has been one of the big reasons. We've got some innovation lined up for the second half of this year, including something in response to the watermelon product and we will be launching that within the next few weeks.
Operator: Thank you. Our next question today comes from Laurent Grandet with Guggenheim. Please go ahead.
Laurent Grandet: So last time we spoke I mean, you mentioned that because of COVID-19, I mean retailers and specifically I mean the convenience store retailers then reset for most part I mean [indiscernible] for the summer. There was a clear focus for you; I mean to make sure that you were able to implement your new innovation. So just curious, I mean, in all your retailers and the convenience store retailers, I mean, are they all reset them in their shelves? And did you gain shelf space for the energy category or the performance energy, and/or either I mean any additional retailers that need to convert to a larger shelf. I know it's late in the summer but because of COVID-19 I mean, there was some delays. So want to have you taken these. Thanks.
Hilton Schlosberg: A lot of the retailers are merchandised by the bottlers. So even though the space was allocated, they may not have got to merchandise the product at the start of the resets. So where we're at now, as I mentioned, learn that guys are back in the field. And they're working with the bottlers to ensure that all of our innovation get the space that has been contractually allocated and just getting away from where we were in the early part of the pandemic where -- it was hands off. And if you look at how the convenience channel has grown and is continuing to grow, I think it's a far cry from where we were in March and April when all of this started.
Rodney Sacks: But that being said, I think that, it really is a work in progress. I don't think we've got to a point where we could say that it's all -- everything that was planned is back in line and everything was achieved. I think it's because it's out of cycle and because of the difficulties just still being faced, generally. It is a slower effort, it's being done, it's slow, but it is improving all the time. But I think it's still not where we would like to see it. But hopefully we will continue to improve as we go through the next few months.
Hilton Schlosberg: Yes. Sets are done for the most part, but it's the distribution actual physical distribution of the products on the sets on the shelves that our field teams are working on.
Operator: And this concludes the question-and-answer session. I'd like to turn the call back over to Mr. Rodney Sacks for his final remarks.
Rodney Sacks: Thank you. On behalf of Monster, I'd like to thank everyone for their continued interest in the company. We continue to believe in the company and our growth strategy and remain committed to continuing to innovate, develop and differentiate our brands and to expand the company both at home and abroad. And in particular, expand distribution of our products through the Coca-Cola bottler system internationally. We believe that we will be able to navigate through the challenges ahead as a result of the COVID-19 pandemic and hope that this unfortunate situation will resolve itself in the not too distant future. We believe that we are well positioned in the energy drink category and continue to be optimistic about our total portfolio of energy drink brands. We hope that you will stay safe and healthy. Thank you very much for your attendance.
Operator: Thank you, sir. This concludes today's conference call. You may now disconnect your lines and have a wonderful day.